Operator: Good morning. My name is Natalia, and I will be your conference operator today. At this time, I would like to welcome everyone to the Mohawk Industries Fourth Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today Friday, February 8, 2019. Thank you. I would now like to introduce Mr. Frank Boykin. Mr. Boykin, you may begin your conference.
Frank Boykin: Thank you, Natalia. Good morning everyone and welcome to Mohawk Industries quarterly investor conference call. Today we'll update you on the Company's results for the fourth quarter of 2018 and provide guidance for the first quarter of 2019. I'd like to remind everyone that our press release and statements that we make during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which are subject to various risks and uncertainties including but not limited to those set forth in our press release and our periodic filings with the Securities and Exchange Commission. This call may include discussion of non-GAAP numbers. You can refer to our Form 8-K and press release in the Investor Information section of our website for a reconciliation of any non-GAAP to GAAP amounts. I'll now turn the call over to Jeff Lorberbaum, Mohawk's Chairman and Chief Executive Officer. Jeff?
Jeff Lorberbaum: Thank you, Frank. After five consecutive years of record earnings, 2018 proved more difficult than we anticipated with inflation increasing dramatically, luxury vinyl tile impacting other U.S. flooring products and most of our markets slowing. In this environment, we selectively invested approximately $1.5 billion to enhance our long-term performance, primarily in new product categories and geographies with greenfield projects and acquisitions, cost saving initiatives and buying back shares. Our industry has faced periods with volatile costs and shifts in consumer preferences before and we have always navigated through them to emerge stronger and a more competitive position. And 2018 inflation in the U.S. was primarily driven by increasing material costs, escalating transportation and energy costs and constrained chemical supply. The tight U.S. labor market increased employee turnover, which impacted both efficiencies and training costs. Our ability to offset these pressures was hindered by continuous inflation, more competitive imports due to a stronger dollar and substitution of LVT for other alternatives. In the U.S., LVT is taking share from other flooring and it will become a significantly larger part of our portfolio. Our LVT manufacturing and import strategies are progressing and our margins will improve in the future. In the U.S. and Europe we are adding more talent to our LVT operations to increase our production, efficiency and differentiation in 2019. While we are managing through these conditions, we are enhancing the long-term value of our business. In 2018, we acquired leading flooring companies in Australia, New Zealand and Brazil. And in Europe, two flooring distributors and a specialized mezzanine company. We entered the European porcelain slab and carpet tile markets. We expanded our higher-quality ceramic in Eastern Europe and initiated sheet vinyl production in Russia and quartz countertop manufacturing in the United States. Much of the benefit from these capital investments will be realized in 2020 and beyond, as we achieve higher volume, mix and productivity. Turning to the fourth quarter results. We generated sales of $2.4 billion, up 3% as reported or 5% on a constant currency. For the period, our adjusted operating income was $241 million or 10% of sales with an adjusted EPS of $2.53. As with our first year performance – as with our full year performance, the period was affected by significant inflation slowing markets and LVT impacting sales of other products. Even as we executed price increases in many products, our business has experienced increased competition and greater pressures on pricing and mix. In the period, inflation continued to be a headwind across most categories as higher materials flowed through our costs. We decreased our manufacturing production in the fourth quarter to adapt to market demand. Our start-up costs in the period were higher than we projected with LVT production improving slower than anticipated. Our new countertop and sheet vinyl plants initiated manufacturing and our Polish ceramic tile expansion was still starting up. In the period we purchased about $274 million of Mohawk stock, reducing our share count by 2.3 million or the equivalent of 3% of our outstanding shares. For more details on our segments, I'll now turn the call over to Chris Wellborn.
Chris Wellborn: Thank you, Jeff. For the quarter, our global ceramic segment sales increased about 5% as reported or 7% on a constant currency basis to $861 million with headwinds from inflation, pricing pressures and lower growth in some of our markets. Adjusted operating income for the segment was approximately $87 million or 10% of sales. In North America, our ceramic business increased sequentially but remain challenged due to import pressures and transportation expenses. To improve our margins, we have increased prices on our products to recover inflation and higher freight costs. We are increasing sales of high-end products made in our new Tennessee plant with technical collections for commercial and color-bodied porcelain with greater slip resistance and durability for residential. For the premium consumer, we are also introducing luxury wall tile collections with handmade looks as well as porcelain floor tile with rectified edges and polished effects. Sales of our large porcelain slabs and countertops are expanding as they gain market acceptance. Our new quartz countertop plant is manufacturing basic products as we ramp up production and optimize our processes and formulations. We have initiated sales of our patented perennial ceramic roofing with some of the largest distributors in the country. This new product mix premium slate-type roof is accessible to the broader market. This year we will also introduce luxury vinyl tile by Daltile, a new ceramic technology that will make the tile installation faster and easier. Across North America, we are taking many actions to lower our costs including consolidating regional service centers and reducing headcount. We're improving our service by increasing our regional inventory levels and lowering our transportation costs by shipping truckloads and redistributing them locally instead of making multiple higher cost stocks. We are improving efficiencies of our manufacturing operations and installing an energy generation system in Tennessee to lower cost. In Mexico our new production lines in Salamanca are operating well, and we are focused on improving our mix and margins. We are expanding our customer base and product offering with our Dalgress large sizes which replicate porcelain at lower price points. We have announced price increases in Mexico to cover inflation and shipping costs. In November, we finalized the purchase of Eliane in Brazil. Eliane is an industry leader with the best brand and a premium position in one of the world's largest ceramic markets. The Brazilian market is strengthening and both our sales and margins are expanding. We have ordered the first phase of new equipment to enhance Eliane's operations and margins following the strategy we used to dramatically improve Marazzi's profitability. We're formulating strategies to optimize our combined Brazil and Mexico sales in Central and South America. In Europe, conditions softened as we went through the period with the Italian economy deteriorating the most due to the political uncertainty. Our exports outside Europe which are focused on commercial projects also slowed. Given these conditions, we experienced greater pressure on margins as competition increased. We reduced production rates in the fourth quarter and are continuing to do so in the first period. We are increasing our commercial sales force to boost sales of our premium technical ceramic. In retail, we are expanding our high-end collections in unique thin wall tile products. We are gaining traction with our large porcelain slabs which can be used for floors, walls and countertops. With the expansion of our European ceramic footprint, we are increasing the specialization of our plants in Italy, Spain, Poland and Bulgaria to improve our competitive advantages. For example, we are moving production of our outdoor products to Poland where we added new lines dedicated to this category. We have increased the production and size capabilities at our Bulgarian plant to enhance our sales in lower price points across Europe. In Western Europe we are creating a separate sales force specifically for these lower-priced collections. We anticipate introducing a patented easy insulation tile in Europe later this year. With these actions, we expect to increase the utilization of our European assets as we move through the year. The Russian ceramic market has grown as the economy improved. During the period, our sales and profitability increased substantially although the weaker ruble significantly reduced our translated results. To overcome inflationary pressures, we enhanced our mix and expanded our volume. We have installed two new production lines this year which will enable us to grow both our porcelain floor and wall tile business. We are launching production of porcelain slabs which are used for floors, walls, countertops and commercial exteriors. In 2019, we will commence production of sanitary ware to make us more complete provider of premium bathroom products. To highlight our offering and enhance our brand, we are expanding the number of large company-owned flagship stores in major metropolitan areas. In the fourth quarter, our Flooring North America segment sales were approximately $974 million, decreasing about 3% with an adjusted margin of 9% including start-up cost of $7 million. The segment sales shipped – slowed as we went through the period due to softer existing and new home sales, weaker remodeling and inventory reductions by customers in some channels. During the period we initiated further price increases to recover higher material and freight costs. Additionally, we launched numerous initiatives to enhance efficiency, reduce material cost and improve processes. In the U.S. market, LVT sales continued to increase, impacting the purchase of other flooring. In November, we announced Paul de Cock's appointment as President of the Flooring North America segment to enhance our results. He has changed the management structure to improve our marketing, operations and innovation in each flooring product. Paul has two decades of experience in the industry and joined Mohawk in 2005 with the Eliane acquisition. Paul previously led the flooring business for our flooring Rest of World segment. Early in his Mohawk career, he led our U.S. Hard Surface business. In the period, carpet was impacted by the high cost of materials and hard surface alternatives. We have increased carpet prices to better align with our costs. In our premium SmartStrand collections, we introduced our new ColorMax technology which blends colorations with greater clarity and deeper saturation. ColorMax was selected by retailers as the most innovative new product at the recent flooring trade show. We also updated our entry-level SmartStrand collections to enhance their sales. We expanded our patented Air.O unified soft flooring offering to strengthen our increasing distribution. We've increased our proprietary Continuum polyester offering with higher-style products at all price points. We have completed most of our regional markets and our residential customers remain cautiously optimistic about prospects for 2019. We continue to enhance our commercial sales organization with increased segmentation by channel and greater focus on specification of large projects. Across all products, many initiatives are being executed to enhance efficiency, material cost, quality and service. We have reinvigorated the premium laminate category through the new investments we made to produce visuals that exceed real wood with previously unachievable water resistance and durability. Wood sales remain under pressure as we provide other alternatives with superior value propositions. Both our residential and commercial LVT sales grew substantially during the period as we implemented our sourcing and manufacturing strategy. We are offering a premium Pergo LVT collection which, before introducing, has great consumer brand recognition than any other LVT product in the market. Though we had anticipated even more improvement, the speed of our LVT production increased about 20% over the prior period. We're adding more engineering resources to further increase productivity, formulations and yields. Long-term, we are confident that our investment in this technology will provide us with competitive advantages when it is operating at expected levels. Our Flooring Rest of World segment delivered fourth quarter sales of $614 million, an increase of 12% as reported or 16% on a constant currency basis with acquisitions enhancing our results. Adjusted margin for the segment was 13% of sales including start-up cost of $18 million. As we progressed through the period, we experienced softening market conditions in both Europe and Australia. LVT sales continued their strong growth and we significantly outperformed the laminate market with our premium collections. We have initiated laminate price increases to recover rising costs and currency changes. Our investments to expand laminate production in Europe and Russia have increased our market share by delivering differentiated visuals and waterproof features. The new lines also supported margin expansion with improved mix and greater efficiencies. The expanded production is enabling us to increase our sales in Russia which has been constrained by capacity limitations. Our LVT sales continue to grow dramatically as our production rates increase. Some of our LVT introductions were postponed until later this period as we overcame technical problems that increased our costs during the fourth quarter. We have seen about 15% speed improvements in LVT over the last quarter as our processes have been refined and we anticipate continued improvement in the year ahead. The improved performance of the new line will allow us to add unique visuals and performance features to our collections. In Europe, we are gaining share in sheet vinyl by launching new products to expand sales on the continent as our new plant in Russia has begun to satisfy its local market. Our Russian sheet vinyl facility is operating as planned and is producing goods to satisfy commitments to major customers. As we refine the plant's processes and costs we will expand our customer base with innovative products. Our European carpet tile plant continues to progress as we broaden our product offering and customer base. We're expanding our commercial sales force and increasing the specification of our products. We have integrated Godfrey Hirst into the Mohawk structure. Presently, the Australian housing market is slowing and we are adapting to the changing conditions. We are investing in new assets to expand Godfrey Hirst's commercial carpet and leveraging Mohawk's resources to enhance product and material strategies. We anticipate bringing greater value to the market with more innovative products and a comprehensive offering of hard surface products distributed under our brand. The volume and profitability of our insulation business is improving significantly. Our polyurethane insulation is taking share from other products as it did prior to prices rising from material constraints. Since the supply of raw materials has recovered, our service levels have improved, and pricing has become more competitive with other alternatives. Our board sales and margins for the year were the highest in the decade. The investments we've made have improved our offering and productivity. With the softening economy in the fourth period, we experienced sales and margin pressures. We have implemented initiatives to increase sales and focus on value-added products. We're expanding the mezzanine flooring business we acquired last year as we leverage our existing manufacturing and sales organization. Now I'll pass the call to Frank, who will review our fourth quarter financial performance.
Frank Boykin: Thank you, Chris. Net sales for the quarter were $2,449 million and grew 3% as reported with the legacy business up almost 1% on a constant exchange rate basis. Flooring Rest of World had the strongest growth with LVT and laminate products performing well both in Rest of World and in our North American segment. Just as a heads up, in 2019 the first quarter will have one additional day and then will have one less day in the fourth quarter of 2019. Gross margin as reported was 26.4% or 27.1% excluding charges and was down from 32.3% last year. Inflation of $61 million, lower productivity of $24 million, higher start-up of $17 million, plant shutdowns of $15 million and unfavorable foreign exchange of $13 million, offset increased volume of $18 million and price mix of $9 million. SG&A as reported was 17.7% or excluding charges 17. 3% compared to 17.1% last year. We had unusual charges of $27 million that primarily were related to the Godfrey Hirst and Eliane acquisitions and plant consolidation in North America. Our operating margin excluding charges was 9.8% down from 15.1% last year. Inflation headwinds of $62 million along with the impact of increased start-up of $18 million, shutdown of $15 million and lower productivity of $23 million, offset $9 million of improvement in price mix. We also had a $7 million headwind from FX. EBITDA was $381 million in the fourth quarter and $1.7 billion for the full year. Our interest expense for the quarter was $14 million which compares to $7 million last year. The increase was related to early extinguishment of high-cost Eliane debt. Our income tax rate improved to 19.2% from 27.2% last year due to the 2017 tax reform act. We estimate a first quarter rate of approximately 22.5% to 23.5% and a full year rate of 22% to 23% for 2019. Earnings per share excluding charges were $2.53 which was a decrease of 26% compared to last year. Turning to the segments. Our global ceramic segment had sales of $861 million. Fourth quarter sales increased 5% as reported with our legacy business up 2% on a constant exchange rate basis. Our Russian business reported the highest growth and North America improved sequentially on a year-over-year basis in the quarter. Operating income excluding charges was $87 million with a margin of 10.1% down from 14% last year. Inflation of $30 million declining price mix of $6 million and increased shutdown costs of $8 million, offset incremental productivity of $13 million and stronger overall volume. In the Flooring North America segment, sales of $974 million decreased year-over-year by 3% with improvement in price mix of $26 million which was offset by volume weakness in soft surface product lines. Our operating income excluding charges in this segment was $86 million with a margin of 8.9% compared to 16.7% last year. Improvement in price mix of $20 million was offset by inflation of $36 million, unfavorable productivity of $37 million and $7 million of production shutdowns as well as start-up of $7 million. We also had $17 million of lower volume. In the Flooring Rest of World segment sales were $614 million an increase of 12% as reported with our legacy sales growing 3% on a constant exchange rate basis. LVT had the strongest growth in this category. Operating income excluding charges was $78 million with the margin of 12.8% compared to 15.8% last year. Productivity and lower material costs were offset by $5 million of foreign exchange and another $5 million of lower price mix as well as higher start-up of $13 million. In the corporate and eliminations segments, we had an operating loss of $11 million. And in 2019, we are estimating a loss ranging between $35 million and $40 million. Jumping to the balance sheet. Receivables ended the quarter at $1,606 million with our days sales outstanding at 60 days in the quarter compared to 59 days a year ago. Inventories ended the quarter at $2,288 million with inventory days at 128. Our inventory was up $340 million from the fourth quarter of last year with 70% of the increase from new businesses and acquisitions and 30% of the increase from Chinese pre-buy and inflation. We lowered our legacy manufactured inventory in most categories as we ran production below sales during the quarter. Our fixed assets for the quarter ended up at $4.7 billion and included capital expenditures of $151 million with depreciation and amortization of $139 million. For the full year, capital expenditures were $794 million with depreciation and amortization of $522 million. We are estimating CapEx for 2019 to be approximately $550 million to $580 million with depreciation and amortization estimated at $560 million. Looking at long-term debt, our balance sheet and cash flow remain strong. Total debt was $3.3 billion at the end of the quarter with leverage at 1.8 times debt to EBITDA. Jeff, I'll turn it back over to you.
Jeff Lorberbaum: Thank you, Frank. As we enter 2019 many macroeconomic conditions around the world could impact our results. Economies have been slowing in most of our markets. Oil volatility is making our costs unpredictable and the housing markets in many regions are under pressure. So our outlook is cautious because of these issues, we expect our results to improve through the year. In the first quarter, we're reducing production rates due to softer environment in most of our markets. Higher price materials will flow through before we realize the benefits from recent changes. The dollar strengthened relative to last year and will have a significant negative impact on the first period. We continue to introduce innovative new collections, implement price increases and improve manufacturing processes. Taking all of this into account, our EPS guidance for the first quarter of 2019 is $2.02 to $2.12 excluding any one-time charges. Our major product and geographic expansions are at various stages of ramping up. As we progress through the year, these investments will increase our sales and margins, price increases will benefit our results, our start-up costs will decline and production levels will increase. We will realize the potential of these projects in 2020 and beyond as volume and efficiencies increase. Today the business is strong with substantial resources, a broader product portfolio and a more diverse geographic footprint. We have a strong balance sheet, extensive liquidity and historically low debt leverage. In the short-term we are taking the appropriate steps to manage through these market uncertainties and we are confident our investments and acquisitions will significantly enhance our long-term business. We'll now be glad to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Michael Wood with Nomura Instinet.
Michael Wood: Hi, good morning. Thanks for taking my question. I was hoping you could shed some light on general industry dynamics in the U.S. ceramics market. With the 10% EBIT margins you reported, which are going lower in the first part of 2019. I guess even if we say you're tracking above that because of the investment headwinds and destocking that are hurting results temporarily, where do you think the competitors are from a profitability standpoint and where that marginal production cost is? I'm trying to understand that given your scale advantages, at what point do you start to see the competitors alleviate some pressures that you're seeing on the price cost side?
Jeff Lorberbaum: The competitors we believe are already reducing their production rate significantly in the U.S. market. However, about 50% or more of the U.S. capacity is satisfied by worldwide supply base and is imported. At the same time you have the 10% increase in tariffs from China, which is the biggest supplier of imports to the country. So you have a lot of dynamics going on. We are raising our prices as we speak to recover some of the freight and margin loss we've incurred so far.
Michael Wood: Okay. And then as a follow-up, you talked about deteriorating slowing sales in many markets. Can you just give us an update on what market you seemed stabilized since at the start of this year? And what markets are continuing to slow down?
Jeff Lorberbaum: So we see in Europe, the markets slowing across, we have a large part of our sales in Italy which is going into a recession. And we have the Russian market is improving in Russia. The Mexican market decreased in 2018. It was running at double digits in our category in 2017, in 2018 it was running negative. We think a lot of it was caused by the interactions between the U.S. and them, but we see it improving. In the U.S., your guess on what's going to happen with the economy and housing is as good as mine this year.
Michael Wood: Okay. Thank you. Good luck.
Operator: Your next question is from the line of Stephen Kim with Evercore ISI.
Stephen Kim: Thanks very much guys. First question is about your LVT production and how or whether your plans have evolved since you started building the two major lines a couple of years ago, the two new lines. Like for instance, I'm wondering is your intention to focus to new Dalton line on like high-end rigid LVT and source the rest whereas maybe previously you intended to produce both high-end low-end rigid? Or maybe you're planning to do flexible LVT on that line for the time being? Or is it basically just that your plan is essentially unchanged just merely delayed. So whatever you can share about your thinking and how it may have evolved will be great. And as for the rigid product you are currently making, where is this product being sold today?
Jeff Lorberbaum: See, if I can answer all of those. So in the United States, our strategy hasn't changed. The new line is focused on making rigid products and it will primarily make mid to higher-end rigid products because we think we can utilize the full capacity of doing that. We change the thing that given that it was taking us longer than we hoped and the market was growing faster, we changed the strategy in the middle of last year. And we began importing more products so that we could satisfy larger parts of the marketplace. And going into this year, we've raised our inventory substantially and LVT going into the year to support it. And then we've also announced that we said we're introducing a new Pergo brand in that which today has a higher consumer brand than any other thing in the category. We haven't sold the first piece of it yet. And we're also going to put LVT in the Dal-Tile product offering this year.
Stephen Kim: Okay. Got it. That's helpful. Okay. So then my second question relates to inventory. I think you mentioned that you're sort of building, the stuff that you're making in LVT, the new LVT line is going into inventory right now. I assume that means that you're going to be looking to launch this Pergo product, I guess, probably in the home centers I'm guessing and maybe other places too, in 1Q I'm guessing. So could we actually see inventory dollars down as soon as 2Q this year? And I mean on a year-over-year basis inventory dollars down? Or should – are we going to have to wait until later this year?
Jeff Lorberbaum: First is that, I assume that the Chinese have a down period in the first of the year so you have to prebuy ahead of it. The second is we are expecting our sales to go up, so we're building inventories for those product categories before we have any sales. And you have to build enough so that we can satisfy the customers. Third is the inventory is also going into all these new businesses we go keep talking about. When you start them up, you put in all the raw materials, the inventories and you're building new products before the sales in those two. So the inventories were all there. Frank, you want to touch a little bit on where the inventory distribution is at this minute, the inventory growth, distribution?
Frank Boykin: Yes. Like I said in my comments, about 70% of the $340 million of growth is in new businesses and acquisitions and the balance here in Chinese prebuy or inflation. And I think another point to make there is that we worked real hard to take our inventory – manufactured inventory levels down by reducing production levels down below the sales levels. And I think we've done a pretty good job of keeping the manufactured inventories down in most categories.
Jeff Lorberbaum: The growth in all these different businesses you have to put the inventories ahead. So I don't expect the inventory turns to be what we like them going into the second quarter because it's going to take a while to get all these businesses up even though the inventory is there to support much higher sales.
Stephen Kim: Okay. So inventory probably won't be down year-over-year until maybe the back half of the year is kind of what I'm hearing. Is that fair?
Jeff Lorberbaum: Yes, the turns – would be the turns right in the inventory.
Stephen Kim: Okay. So the turns will be up, got it – in the back half. All right. Thanks very much guys.
Operator: Your next question is from the line of Matt Bouley with Barclays.
Matt Bouley: Hi, thank you for taking my questions. Jeff, could you elaborate on the comment you made there around improving results through the year during 2019? Is that a revenue growth or a margin comment? Are you anticipating, I guess, the margin declines to lessen? Just how exactly should we model improving results after the first quarter? Thank you.
Jeff Lorberbaum: To start out with the outlook which we said is cautious because of the economies and the housing which we're having difficulty projecting what's going to happen this year, but we do expect improvements in the business as we go through with the expansion of the sales and the margins as we go through the year.
Matt Bouley: Okay. Understood. And then secondly, does these first quarter guidance anticipate any effect from the tariffs? And I'm assuming you wouldn't necessarily see an immediate impact. But I guess beyond the first quarter, obviously as you're sourcing from China, how should we think about what the margin impact would look like or what you're planning around that? Thank you.
Jeff Lorberbaum: I don't have any idea what additional tariffs will go in and not go in. We don't know. We haven't built anything into our plan but we'll have to adjust if they go in, how we operate, and how it impacts the marketplaces.
Matt Bouley: Okay. Thanks for the detail.
Operator: Your next question is from the line of John Lovallo with Bank of America.
John Lovallo: Hey, guys. Thank you for taking my question. The first question is just following up on Matt's question maybe. It looks like the first quarter implied operating margin could kind of be in the 8.5% to 9% range realizing that could be just conservatism on your part. But the comments about things getting better or improving, I mean, should we be thinking about improvement just sequentially? Or should we be thinking about that on a year-over-year basis in terms of operating margin?
Frank Boykin: We were talking about the year-over-year margin percentage improving sequentially – third quarter, fourth quarter.
John Lovallo: Okay, got it. All right, that's helpful. And then if we think about some of the headcount and consolidation that you guys – headcount reduction I should say and consolidation of the service centers that you guys talked about, I mean, clearly it makes a lot of sense from a cost perspective. Is there any risk though that of negative impact to your operations? Or was this really just kind of redundant capacity?
Jeff Lorberbaum: What we did is in some of the major markets we have multiple stores in every corner of the metropolitan areas and we've developed ways of getting the product to those customers with less store foot – service center footprints in the area.
Chris Wellborn: Yes. And we don't really see a risk to that because we analyze each market by market. And where we took the reductions, we should be fine.
John Lovallo: Okay. Thanks, guys.
Operator: Your next question is from the line of Mike Dahl with RBC Capital Markets.
Mike Dahl: Good morning. Thanks for taking my questions. The first question I wanted to go back to the discussion around inventory. And notwithstanding the uncertainty about whether or not tariffs go into effect at 25% in March just focus specifically at what's played out over the last couple of months. You mentioned the Chinese prebuy. Part of that is around the Lunar New Year part presumably for you guys and also maybe your competitors is really that they're also getting the in out of the tariffs. Can you just discuss on what you're seeing in terms of both competitor inventory levels and channel inventory levels from your customers in LVT?
Jeff Lorberbaum: I can't speak for my competitors because I have no idea. But we are raising the inventories for all the reasons you just went through. In some cases we're buying it ahead because of the pricing. In some cases we're buying it ahead because of the increases. And in some cases we're buying it ahead to expand our business and footprint and brands we're selling under in each cases. So it's all of the above. I would imagine the rest of the world is doing the same thing.
Mike Dahl: And so do you see any potential channel issues in terms of too much inventory in the retail channel as you head into the spring?
Chris Wellborn: I mean I can see what – on the ceramic side we tend to build up in preparation for that Chinese shutdown. But then as you go through the quarter obviously your inventory goes down because you're not buying more from the Chinese when they shutdown.
Jeff Lorberbaum: The imports in ceramics which we can see always go up dramatically the first of the year as people are putting in new products, changing out old ones and building up the inventories. And so what happens is the imports decline as you go through the year and they make adjustments in the second half coming out of it. So you typically go in with a more optimistic view and you adjust in the second half of the year. And you could see it in the import data.
Mike Dahl: Got it. Okay. And then my second question, Jeff, I was hoping if you could give us a little more color around Paul's appointment in North America and just what specifically he's already changed out? And if there's anything more radical in nature that he's considering as far as strategy there?
Jeff Lorberbaum: I guess a little background on Paul. Paul has been in the industry his whole life. He joined our business when we acquired Eliane in 2005. At that point, he came to the United States and he ran our United States hard surface business for a number of years. And then he went back and he's been running the Rest of World segment's Flooring business since. Since he got here, he's announced changes in the management structure where we've had a more focused approach on each product category. And with that, we expect to have greater efficiencies and execution in each category. At the same time we're going to enhance these sales synergies across the total segment as we go through. And he's – a majority of those things needed to be done, have already been announced and executed.
Mike Dahl: Okay, great. Thank you.
Operator: Your next question is from the line of Kathryn Thompson with Thompson Research Group.
Kathryn Thompson: Hi. Thank you taking my questions today. The first is really more for LVT production, more specifically in the U.S., secondarily in Europe. As you think about tackling the new ceramic or stone type LVT product, is this a type of product that you would attempt to manufacture domestically? Is it still a type of product that you would prefer to import? And just really broadly speaking stepping back and looking at the forest for the trees how do you intend to tackle the fast growing different types of products coming out of LVT either manufacturing or more import? Thank you.
Jeff Lorberbaum: There are two types of stone products. One stone product is just changing the stone ceramic looks, is just changing the visuals on the various types that are here, which we have been doing the other. And then there's a new product type that has a different core with it that's being made in China. And we have not entered that one yet.
Kathryn Thompson: Okay. Do you – is it your intention to get into that product this year or is this something...
Jeff Lorberbaum: Our strategy is to have both a sourced strategy and a manufactured strategy. And if the business believes they're better off or they need something to source we won't hesitate to do it.
Kathryn Thompson: Okay, great. My second question just is on Flooring North America. You gave some great detail in the prepared commentary on some puts and takes on the margins. But as we've had a really two consecutive quarters with pretty steep declines year-over-year, can you help us understand what things are more easily addressable and fixable? And what ones will take a little bit longer to rectify? So really kind of more inflation things that can catch up but others that are trickier like manufacturing. Thank you.
Jeff Lorberbaum: I mean, there's some – I'd say, going forward, there are different issues. So the issues you have with the overall economies and pieces which we can't control, which we're not sure exactly how they're going to evolve, how we're going to have to react to. You have issues in each category like ceramic where the stronger dollar has reduced the pricing in the marketplace. The tariffs are raising the prices of the stuff coming out of China. And at the same time our freight costs have been going up here which we've absorbed last year. We announced an increase at the end of the fourth quarter to try to recover both some of the margins as well as the freight costs to get them back. In each of the different product categories and markets, there's different dynamics in each. You have on top of that all of these new investments we have are under-utilizing the fixed costs because when we go into the new businesses, it takes time to ramp them up which is why we said that a large part of these new profitability will be in 2020 and beyond. Because even if we start them up and get them there, we have to get the customers to buy enough to get the profitability that we expect. So it will improve through the year. But until you hit these rates of utilization that we need in each one, you won't be to the potential of what they can have.
Kathryn Thompson: All right. Thank you very much.
Operator: Your next question is from the line of Susan Maklari with Credit Suisse.
Susan Maklari: Thank you. Good morning. My first question is, just it seems like you did make some significant progress in the quarter in terms of price mix despite some of the macro weakness that we saw. Can you talk to just a little bit more color around that how sustainable it is? And really how we should be thinking about it trending as we move through this year?
Jeff Lorberbaum: I guess a few things. One is in our carpet business with raw materials, we would expect that as the inventories flow through, that it will help the margins which should be about the second quarter we should start seeing that. However, I can say that the oil prices, the predictions by people who know more than I do, range from about $50 a barrel to $90. And so I have no way of predicting what they're going to be and we'll have to react as they go through. The same thing you hear us we talked about in the introductory things about introducing a lot of higher-value products in each category about try to driving the premium products. And the question is going to be as we go through the thing we think we'll help the mix. The question is going to be how the economies and volumes is going to be as we progress through the year. And we're sure we'll improve it if we don't have any negative things we're not anticipating show up.
Susan Maklari: Okay. And then my second question is just as we do think about your source as well as manufacturing strategy, can you talk a little bit to the margin differentials with those products and how we should be thinking about the implications of that on the business?
Jeff Lorberbaum: The margin differential in the short term will probably be similar. In the longer term we would expect the margins in our manufacturer to be higher.
Susan Maklari: Okay. So we should be expecting that to come through more in 2020 then?
Jeff Lorberbaum: Yes.
Susan Maklari: Okay. All right. Thank you.
Operator: And the next question is from the line of John Baugh with Stifel.
John Baugh: Thank you. Good morning. I have two things quickly. You gave us some color around production of LVT both in Europe and the U.S. Was that a rigid comment only? Or is that all LVT? And is there any distinction between the growth rates of the two?
Jeff Lorberbaum: I think you asked a production question and a growth question I think. Let's start with the production piece. The production, the new lines will actually make either in the United States were primarily focused on – well not primarily, we're focused on rigid because there's enough volume to use it. In Europe which hasn't moved as fast we're actually producing significant amounts of flexible because the marketplace isn't moving as fast as rigid as it is here. What was the second part?
John Baugh: So, Jeff, your focus – your production comment in the U.S. about 20% sequential from third quarter, was rigid?
Jeff Lorberbaum: That's on the rigid.
John Baugh: That was rigid. Okay. Thank you. And then secondly, the home centers are changing out their floors a little bit on what they're offering. Could you discuss how that impacted you, say, last year? And how you anticipate it impacting you this year with any focus on timing this year?
Jeff Lorberbaum: Actually the timings be a subject on the home centers. John, you're talking about a particular category?
John Baugh: Well, we know they're deemphasizing carpet and to hard surface emphasis and I'm just curious as to what you're seeing how that's impacting your business.
Jeff Lorberbaum: Listen, they're trying to participate in all the flooring categories like everybody else. At the same time, they see the trend in LVT like products increasing. So they're giving them more space and reducing some of the space in the other ones while they still try to optimize the other product categories. And I would say that's probably similar for the entire marketplace.
Chris Wellborn: I know they're also relying on our domestic expertise on the ceramic side and we're doing quite a bit of work with the home centers.
John Baugh: Great. Thank you. Good luck.
Operator: Your next question is from the line of Phil Ng with Jefferies.
Philip Ng: Hi, guys. Rest of World Flooring was a bright spot for you guys last year but you're seeing market conditions slow down a bit in Australia and Europe. How should we think about growth in that market in '19? And margin step back to wood, what drove that?
Chris Wellborn: Well, on the – particularly on the Godfrey Hirst, we've integrated Godfrey Hirst into our organization. The Australian housing market has weakened as we expected and we're responding. We're expanding our commercial carpet tile in that market. We're sharing best practices with the United States and we're closing inefficient assets. We're also bringing innovative products to the market and expanding our hard surface offering in that market.
Jeff Lorberbaum: The other sales in Europe the sales are moderating as the economies are. And we still have the highest growth in LVT and laminate. We're increasing prices in laminate to offset inflation over there. We're increasing our LVT sales with our expanding production. We have more sheet vinyl capacity in Europe because going forward we won't need it to supply the Russian marketplace as we go through. And we've increased the capacity in high-end laminate in both countries to allow us to expand those as we get through. A lot of it is going to depend on how the economies evolve over there and we're expecting them to be a little slower this year.
Philip Ng: Got it. Slower growth but you're still expecting growth at this point. Is that fair?
Chris Wellborn: It depends on which products, markets and pieces as you go through. I mean, they're all going to be different.
Philip Ng: Got it. And then just given all the moving pieces you've called out was raw mats ramping up new capacity Jeff, I think in the last call you mentioned that flat organic EBITDA growth was probably not a bad way to think about 2019. There's obviously been some puts and takes. Is that still a realistic goal? Or there could be some downside risk to that target at this point?
Jeff Lorberbaum: It depends where the economy is going, what's happening. I would say there's some downside risk to that given what we see in the housing markets and the general economies.
Philip Ng: Okay. All right. Thanks a lot. Appreciate the color.
Operator: Your next question is from the line of Michael Rehaut with JPMorgan.
Maggie Wellborn: Hi. This is actually Maggie Wellborn on for Mike. I was just wondering if you could talk a little bit about sales mix by – like channel and product within your segments during the fourth quarter. And specifically did you see any shifts from the third quarter? And how do you expect it to play out in the first quarter of 2019?
Jeff Lorberbaum: I guess the biggest shift we saw was from the housing sales slowing down and new and existing home sales in the U.S. marketplace. As it slowed down, we felt the impact of it. Other things would be in Italy. They went into a recession, so we saw the same thing. We saw compression of the sales. And then as things slow down, you tend to see more price competition. On the other hand, in the United States market, in some of our categories as we raised prices, we saw some of the retailers trading consumers down to try to offset the higher prices in retail. So that also created a mix change, but I mean all the markets are unique in itself.
Maggie Wellborn: Okay. Thank you. And then just another question. You talked about increase in prices. I was just wondering what is your level of confidence in your ability to realize those better pricing in the first quarter and into 2019?
Frank Boykin: Again it's led by product by country. The carpet industry along with our sales, increased prices and they seem to be holding through the marketplace as we speak. We've announced an increase in ceramic which was helped by the increases in the tariffs and the large amounts coming in there. So we're expecting to be able to get those through as we go through where you go through different markets. In ceramic in Mexico we've raised the prices and we're expecting those to hold. We are very aggressive in Mexico and the lower price points last year because of the new capacity we've put in and pushing it through the marketplace. And on the other extreme, you have Italy where the volumes going down in the whole industry where there was new capacity put in the marketplace over the last year or so and the margins are being compressed and we're projecting the margins to be lower next year. And I mean – I don't know. In Russia, we're increasing prices in the Russian markets and expanding it. The Russian market has been a growth area for us. And we see it continuing for this year also.
Maggie Wellborn: Okay. Thank you.
Operator: Your next question is from the line of Stephen East with Wells Fargo.
Stephen East: Thank you, and good morning. First, you've talked about curtailing production in the fourth quarter and the first quarter. As you look at your business now, do you expect you'll be curtailing production beyond the first quarter? And if so, how long do you all think it last at least what you're seeing right now?
Jeff Lorberbaum: We believe we'll be increasing the production rates to match sales going through the year. We've been producing under the sales rate in many of the product categories. So the production rate should go up and help us.
Stephen East: Got you. Okay. And then I guess two things. On the LVT, how long do you think you all are at normal capacity utilization rates for a great type product? Is this a '19 event that you think you can get to? Or does that also stretch out into 2020? And then just quickly on your guidance for the first quarter if you wouldn't mind just rank ordering what are the biggest issues in your guidance that you gave?
Frank Boykin: The LVT we think that by the end of the year we should be operating the new lines at similar productivities and speeds as our older lines having worked through the technical challenges of it. So we think going into 2020, we'll have the lines operating at the levels we – at the productivity levels we expect. And I forgot the second part of the question.
Jeff Lorberbaum: I think Stephen, you were asking about the risk in the first quarter guidance? Is that what you were asking?
Stephen East: No, just if you wouldn't mind, Frank, just rank ordering the issues in your guidance that's down year-over-year a bit more than fourth quarter just trying to understand if you would rank order what the biggest drivers of that decline was?
Frank Boykin: In the first quarter it would be the economy slowing in most markets. It would be housing under pressure in some regions. It would be the lower production rates due to the softer environment and it would be the higher-price materials slowing through as some of the sales levels were softer in the fourth quarter, it takes a little longer for the inventories to flow through.
Stephen East: Okay. Got you. All right. Thank you.
Operator: Your next question is from the line of Justin Speer with Zelman & Associates.
Justin Speer: Thank you. First question for me just on the capacity utilization in these new plant. You mentioned the 20% production speed. Where is it today? And what is fully optimized in your definition?
Jeff Lorberbaum: The plants are running five days a week. They're running at much lower speeds than we anticipate them getting to by the end of the year. There are more interruptions from software, hardware, technical things that are being solved one after the other. There is training going on with each one. So we would expect that the production rates would increase, the downtime would decrease dramatically the – then you start working on things like the raw material inputs and how you reduce those. And you start working on other things of how to improve the product offering with more technical innovations. All have to happen as we go through the year. We think when we get to the end of the year and go into 2020 we'll be in a good position.
Justin Speer: If you were to kind of like pull back and look it like you have a lot coming at you. You've got raw materials coming at you. You've got macro issues. You've got LVT outgrowth issues. If you could kind of help – if you could help us unpack how much of the revenue and profit in terms of margin drag from inefficiencies that are being expressed in 2018 and potentially 2019. And where when you get those optimized how much margin improvement you could potentially enjoy as you get those out? Help us unpack that, because I think when you look at raw material, I'd say that was the bad guy in 2018. The other moving pieces, how much is just from being suboptimized?
Jeff Lorberbaum: There's multiple parts. So one part is the start-up costs. So the start-up costs were about $80 million in 2017. And we've said that start-up costs in 2018 will be $35 million to $40 million in the start-up costs. Now besides that, you have to get the productivity and the volume up. And the volume when you get up to 80%, 85%, the costs start dropping dramatically and the profits go up dramatically. And then the second part is as you start filling them up, you start selling more higher-value products and lower-value products you have. And depending upon the marketplace and what it is, the mix can be a big improvement as you go through once these things stabilize. So, I mean we're at all different places. This new plant making countertops in Tennessee I mean it's operating one shift now as it – one shift as we train the people and go forward, it's operating with very basic products. And that's totally different than it's going to be next year as we get through. So that's extreme on one side. In the sheet vinyl plant in Russia, it's operating on two shifts, as it. And we're having to go find new customers who never bought sheet vinyl from us and we're doing that. So, the question on that one is more about the ramp-up of it and how fast we can get cuts first to move versus technical problems and getting it started up for instance. And each one of these is unique and different. But it's balancing – when you go into new things, the good news is you're going at a new products and new geographies which is a big upside. But everybody doesn't wake up the next day and say they'll buy everything you can make when you haven't been in the markets before. So there's a lot of things that have to get laid out which is why you really have to think of it in long-term pieces as they ramp up. When they get ramped up and running full they'll all be running at the average of our margins for all of our businesses. That's the potential. Now the question is, is it going to happen in six months or two years in each one? I can't tell you.
Justin Speer: In view of the LVT kind of stopping and starting, is there any change in the economics of that business relative maybe to six or 12 months ago? You mentioned do you think margins would be better internally produced versus sourced? But in a no tariff scenario, are the fully landed economics still superior or at least as good as Chinese imports?
Jeff Lorberbaum: That's our plan.
Justin Speer: And lastly the productivity initiatives, the mix up and another productivity initiatives you mentioned, how should we think about the incremental contributions from those across your business in 2019?
Jeff Lorberbaum: You have to separate out the new projects from the existing ones. And existing one is going to be more determined about the economies and the competition and what it takes to run the assets in the marketplace. And we will have to adjust as they are. If the markets are good, the mix will be better. If the markets are bad, we'll sell more commodity stuff and the mix will go down. So it depends on how the whole markets evolve over time in each product and each country.
Justin Speer: Can I sneak one more in? LVT as a percentage of revenues, where is that in terms of the Flooring Rest of World and Flooring North America?
Frank Boykin: Well LVT once we have all the plants up and running, and fully optimized, we'll have manufactured sales in excess of $1 billion. And then in addition to that we will continue our sourcing strategy like Jeff mentioned earlier.
Justin Speer: Thank you guys.
Operator: Your next question is from the line of Keith Hughes with SunTrust.
Keith Hughes: Thank you. Frank, in the prepared comments, did you – in Flooring North America, did you say productivity was negative $37 million. Is that correct?
Frank Boykin: I did.
Keith Hughes: In this said quarter where it's been pretty notable negative number. Can you just describe what is going on and what caused that?
Frank Boykin: Yes, it was impacted this quarter again by lower manufacturing levels, high employee costs and then ramping up of the new products – new capital projects that we've got going on. It's going to continue, Keith, to lag – productivity will continue to lag in the first quarter with inefficiencies and higher costs. But we are expecting to see improvements as we move through the year in there.
Keith Hughes: Okay. And definitionally, in some of the other segments you called out the lower production the lower production volume as a separate item but it's lumped into this number here. Is that correct in Flooring North America?
Frank Boykin: No. Lower volume the margins associated with – the standard margins associated with lower margin or volumes are included in the volume number. But to the extent you've got higher unabsorbed overhead for example, that's going to show up in productivity.
Keith Hughes: Okay. So the shut – you talked about some shutdown numbers, that's something different. Is that correct?
Frank Boykin: Correct.
Keith Hughes: Okay. Is that just plant closures or what is it that number to find out?
Jeff Lorberbaum: Well like in ceramic for example there's no plant closures but you may have lines down.
Keith Hughes: Okay. All right. Thank you very much.
Operator: Your next question is from the line of David MacGregor with Longbow Research.
David MacGregor: Yes, good morning, everyone. Can you just talk about order patterns you maybe seeing in commercial non-res markets?
Chris Wellborn: Well at least – on the ceramic side where we've seen the commercial business slowly improve.
Jeff Lorberbaum: Is that we're seeing so far in the first quarter it seems like it's strengthening a little bit for us in all the different markets. So we'll have to see how it works.
David MacGregor: Is that really with respect to North America or is it...
Jeff Lorberbaum: That's a North American comment.
David MacGregor: Right. And is there anything to say about the European non-res commercial?
Chris Wellborn: I think we've seen it at least in Italy in ceramic it slowed a little bit than commercial had.
David MacGregor: Okay. And then what were the most important takeaways for you from the International Surface Event trade show?
Frank Boykin: Which trade show? One more time?
David MacGregor: Vegas, the International Surface Event trade show.
Jeff Lorberbaum: From what we hear from customers is that they are let's say cautiously optimistic really depending on what we see from the housing market.
David MacGregor: All right. Thanks very much.
Operator: Your final question comes from the line of Lee Nalley with SunTrust.
Lee Nalley: Yes, thanks for squeezing [ph] me in. Just regarding the share repurchases, it's not really big for you guys considering your cash flows but the $200 million roughly remaining, should we just expect that to be deployed as quickly as possible considering where your stock price is?
Jeff Lorberbaum: We'll continue purchasing it over time. And depending upon the market and what's going on, we'll act differently.
Lee Nalley: Okay. And then so one follow-up, just thinking about balancing the repurchases and your leverage, I guess, how – do you have a max target for your leverage? Or how high would you be willing to take your leverage?
Jeff Lorberbaum: Related to the stock purchase, we have approval from the Board to buy $500 million is the approval at this point. So to do different, we would have to go back to the Board and get a different piece. The leverage in the – our total leverage I mean in our history of it not-too-distant past, we've been comfortable going over three times, but we want to maintain our ratings with the rating agencies so we can continue to book to borrow money. So under the right circumstances and being able to pull the leverage down, we would leverage the company up some more.
Lee Nalley: Okay. Thanks, guys.
Operator: And we do have an additional question from the line of Christophe Van der with Value Square. Christophe, your line is open.
Christophe Van der: Hi, good morning. Thank you very much for taking my question. I would like to hear whether you could break out carpet in U.S? Hi, can you hear me? Okay, great. [indiscernible] My question would be regarding carpet, could you break that out? How much there is and how big that is in the U.S? And then also where do you see the carpet market going in the long term? Because carpet and rugs are somewhat of a declining market. So, I was wondering how market positioning itself in that market on the longer term and how you see that evolving in the long term? Thank you.
Jeff Lorberbaum: The carpet category is approximately one-third of our total business.
Frank Boykin: Global business.
Jeff Lorberbaum: Global business. And it's been declining over time. If you go back a while, it was 100% of our business. It's now one-third we expand into other categories. We would expect that the other categories would grow faster over time. It would continue to decrease as a proportion of the total. Are there any other questions?
Christophe Van der: Okay. And do you expect any further investments or will it really decline? Or do you expect to just go along?
Jeff Lorberbaum: The investments will be in line with what we think need to be competitive, bring new products to the marketplace and increase our efficiencies. But I would expect the investments in it to be lower than the other categories.
Christophe Van der: Thank you. And on ceramics I heard rumors that there are closures in the Dal-Tile stores. Could you elaborate a bit on that one because I was little bit surprised that I heard rumors that the ceramics market is suffering from the LVT. I thought the ceramics would be quite resilient through the entrance of LVT.
Jeff Lorberbaum: LVT has increased at a rate that's so high, that it's impacted the sales of every product category in the flooring industry. So they're all – they've all been lowered. And LVT is taking 100% of the flooring increase of the entire category. On our stores what we said was we've reduced the number of stores in markets where we had a number of stores and we could maintain the business with lower cost by redistributing the same business to fewer entities. And it's enabled us to reduce our SG&A costs.
Chris Wellborn: I would add that on the LVT so far it's been primarily as it relates to ceramic a U.S. phenomenon. And countries like Mexico, Brazil, Russia where labor is a lot less expensive, we haven't seen that.
Operator: And there are no further questions. I will turn the call back over to Mr. Lorberbaum for any closing remarks.
Jeff Lorberbaum: Thank you for joining us. We think we're in a good position for the future. And have a good day.
Operator: This concludes today's earnings conference call. You may now disconnect.